Operator: Welcome and thank you for standing by. At this time, all participants will be in a listen-only mode until the question-and-answer session of today's conference. [Operator Instructions] This call is also being recorded. If you have any objections, you may disconnect at this time. I'd now like to turn the call over to, Scott Montross. You may begin.
Scott Montross: Thank you, Bill. Good morning and welcome to Northwest Pipe’s Conference Call. My name is Scott Montross and I’m President and CEO of the Company and I’m joined by Robin Gantt, our Chief Financial Officer. As we begin, I would like to remind everyone that the statements that we make in this call about our expectations for the future are forward-looking statements and actual results could differ materially. Please refer to our most recent SEC filing on Form 10-K for a discussion of risk factors that could cause actual results to differ materially from expectations. I will now turn to Robin, who will discuss our second quarter results.
Robin Gantt: Thank you, Scott. Our third quarter loss from continuing operation was $1.6 million or $0.16 per diluted share compared to income from continuing operations of $1.4 million or $0.15 per diluted share in the third quarter of 2016. As you may recall, our results in the third quarter of 2016 were significantly impacted by the expected taxable gain on sale of the Denver real property, which caused the reduction in the expected increase in the valuation allowance for 2016. This caused our results in 2016 to swing from a loss before taxes to pause of the net income. U.S. GAAP required us to consider the impact on the valuation allowance in the third quarter, even though the gain was not realized until the fourth quarter of 2016. Water Transmission sales decreased to $30.8 million in the third quarter of 2017 from $41.1 million in the third quarter of 2016. Water Transmission gross profit as a percent of sales, was 4.9% in the third quarter of 2017, a decrease from 7.2% in the third quarter of 2016. The decrease in gross profit was due to a change in product mix and product timing. Sales volume decreased 12%, which was partially offset as selling prices increased 7%. The sales price increase was impacted by an increase in material cost including steel of 5%. Selling, general and administrative costs decreased to $3.4 million in the third quarter of 2017 from $3.9 million in the third quarter of 2016. This decrease was due to lower wage and benefit expense from reduced headcount. We expect that our selling, general and administrative costs will run between $14 million and $15 million in 2017. Interest expense remained low in the third quarter. We expect that the interest expense in 2017 will be about $500,000. Our cash balances decreased a lot as we increased our working capital to support our increased volume. Remaining each of all small amounts from our credit agreement in the fourth quarter, although we expect these amounts will be relative small and that we will have sufficient availability under our credit agreement for our cash needs over the next 12 months. We had an income from continuing operations tax benefit rate of 2.5% in the third quarter of 2017 compared to an income from continuing operations tax benefit rate of 204.3% in the third quarter of 2016. The rate in the third quarter of 2017 was lower than statutory rates because our net operating losses were subject to evaluation allowance, the very usual rate in the third quarter of 2016 I discussed above. In the first nine months of 2017, the company had a net outflow of cash from operations of $13.1 million as our increased backlog has failed caused an increase in our working capital, particularly in receivable and costs and estimated earnings and excessive selling. Depreciation of $4.7 million in the first nine months of 2017 and $6.8 million in the first nine months of 2016. Capital expenditures through the third quarter were $2.1 million, which were for ongoing maintenance. We've classified our Atchison assets as held for sale on the balance sheet and the related expenses in discontinued operations on the income statement as we believe it is more likely than not that we'll complete a sale in the next 12 months. The Houston real estate remains in their fixed assets and the book value was $3.1 million as of September 30. Now, I'll turn it over to Scott for an update on our business.
Scott Montross: As of September 30, 2017, our backlog was approximately $109 million, compared to $101 million at the end of the second quarter and $96 million at the end of the third quarter of 2016. We expect that revenue will stay about even in the fourth quarter while margins will be a little higher. Margin recovery remained slow, but steady. Even though pressure from nontraditional supply has subsided. delay related to job pushouts and severe weather have made 2017 a small demand year. The following is an outlook of current and upcoming water transmission projects. The Houston project is a major program with multiple small segments that started bidding in the second quarter of 2016. This is a multiyear series of segments that are expected to represent 90,000 tons of pipe. The first larger segment Capers Ridge Phase 2 bid on July 26, and we were the successful bidder. The scope of this project has increased and it will now exceed 8,000 tons. Production will begin late fourth quarter. There are several other smaller segments scheduled to bid throughout 2017 that represent an additional 7,000 tons in total. The Lake Houston inlet project bid in the third quarter and we have been notified that we are the winning bidder. This represents over 3,000 tons of production for 2018. Another major segment of the Houston project is the Surface Water Supply Project Segment A, which is currently scheduled to bid late 2018 and could represent 15,000 tons. Bidding on the entire Houston project is expected to continue into 2019. The Lower Bois d’Arc Reservoir project is a pipeline being planned by the North Texas Municipal Water District, which represents approximately 60,000 tons of pipe. Garney Construction is the Manager, and they announced that procurement is anticipated to begin in the summer of 2018 with construction beginning in the spring of 2019. The Southeast Oklahoma Raw Water Supply, also known as Atoka Second Pipeline, is a 100-mile, 64,000-ton pipeline. The timeframe for bidding on this project has shifted out and we're now expecting a third quarter 2018 bid. The California market continues to develop. The Southern California reline program is expected to continue over the next 20 years and will invest $2.6 billion. The next two reline segments are schedule to bid in the first half of 2018 and represent approximately 8,000 tons of pipe. There are several recycled water programs that we're tracking, most notably, Santa Clara Valley Water District’s expedited purification water program. This represents up to 10,000 tons of opportunity starting in the fourth quarter of 2017. The City of San Diego’s Pure Water program is a 6,000-ton project that is expected to start bidding in 2018. The Cadiz Project is a water conservation supply and storage project in California that will create a new dependable water supply for 400,000 people. When built, this project will create upwards of 5,900 jobs in the region, and our Adelanto facility could be a direct beneficiary of this project. A recent BLM decision paves the way for Cadiz to move forward with this project, although there are still some headwinds that still exist, we are hopeful that the initial purchase of 25,000 tons of pipe will commence in 2018. The Navajo-Gallup project reaches 9 through 11 as a 7800-ton project in New Mexico that bid in the third quarter. We have been informed, we will be a supplier and expect production to begin in the first quarter of 2018. In North Dakota work continues on the 140 miles of 72-inch Red River Valley Water supply project. This project is still in the design and permitting stages and we expect that bidding will begin in 2019. The SWIFT program in Texas has almost $1 billion in projected funding for water projects that have been recommended to begin in 2017. In total, they project $5.6 billion over the next several years. The SWIFT program is expected to continue to result in additional near and long-term opportunities. In 2018, we are seeing a bidding year that could be larger than we’ve seen in many years. In 2018, we expect to have three major programs in process. The Houston Program, The Lower Bois d’Arc, Atoka Second Pipeline. This will be first time since 2012 that there would be three major projects occurring at the same time. As a result, we expect 2018 to be one of the largest bidding years we've experienced in the last several years and since these three projects are multiyear programs, we expect to see strong demand well past 2018. We have planned about $4 million in total capital expenditures for 2017, most of which falls under maintenance capital spending. We continue to look at a wide range of strategic opportunities for our water transmission business. This is an active and ongoing process and there is nothing further that we're able to discuss at this time. As we continue to discuss over the last several quarters, we're seeing a bidding environment that continues to improve in a market that has stabilized. As a result, our backlog has grown from $66 million at the end of 2016 to $109 million at the end of the third quarter of 2017. Due to our focus on margin over volume, both the size and the quality of our backlog have improved and we've seen these improvements despite a very small demand year in 2017. Our intense focus on reducing cost in our business over the last two to three years continues to yield results. We've achieved a 16% reduction in man hours per job, a 26% reduction in plant overhead spending and at the corporate level, a 38% reduction in SG&A spending. The focus on cost has created a situation where we are now able to generate gross profit in our water business at very low production levels. This will lead to the opportunity to generate higher than historical margins as the market continues to improve. Our balance sheet remains strong. We ended the third quarter with $5 million in cash and this is lower than the second quarter level, but it's related to increased working capital to support higher second half 2017 demand. We've not borrowed from our lending institution in over five years -- or excuse me, over two years. We also have additional noncore assets that we are working toward monetizing to bring additional cash and flexibility to our balance sheet and the company is in a stronger position than ever to create growth opportunities. In closing, as we've indicated during the past few earnings calls, the recovery in this market will be slow but steady and that's exactly what we're seeing and this is demonstrated by the growth in and quality of our backlog. We continue to believe that with the amount of projects we see coming through the system, we're heading into a period of high demand. As we head into this period of higher demand, we will continue to be focused on one; margin over volume and achieving the market share that best positions the company to maximize profitability. Two, monetizing the noncore assets the Atchison Plant and the Houston property to create additional balance sheet strength and flexibility. And three, continuing to drive cost efficiencies and cost reductions at our production facilities. At this time, we would be happy to answer any of your questions.
Operator: Thank you. We'll now begin the question-and-answer session for today's conference. [Operator instructions] Speakers we have our first question. This one comes from Brent Thielman. Your line is now open.
Brent Thielman: Hey. Good morning.
Scott Montross: Good morning, Brent.
Robin Gantt: Good morning, Brent.
Brent Thielman: Scott and Robin, a lot of encouraging things here. I guess first question would be I know these timelines on jobs can shift around, but as you look at the bid schedule Scott over the course of '18, is there some seasonality to it? Is the opportunity to build the backlog further, front half, back half loaded, any thoughts there?
Scott Montross: Yeah it is. We've got the Houston project going on right now Brent. As I mentioned, we've gotten the Capers Ridge section. So, we've got that going on and there's another piece of the Houston, the inlet that we discussed in the script. It's another few thousand tons. And there's another project Navajo-Gallup that we've got a big piece of. So that's obviously starting to build the backlog. We see the first part of the year being probably a little higher than normal bidding that we saw in 2017 because '17 has developed into a pretty small year with Atoka shifting out with some of the other jobs shifting out and some severe weather delays that we saw. So, we see a little bit more bidding in the first quarter of 2018 than we did in '17, probably the second quarter is about the same. The third quarter is really large, when you start looking at what's going on with Lower Bois d’Arc in Texas and also with Atoka. So, the third quarter's big and I would classify the fourth quarter as probably a little bigger than we saw 2017. So, we're seeing a pretty substantial year coming at us in 2018 and it's I guess to directly your question, it is more scheduled toward the second half of the year, but we're seeing the first half look bigger obviously than what we've seen in 2017. So, it's very encouraging and plus the fact that these programs are multi-year programs it's encouraging that the demand stays pretty strong out well past 2018. So, there's a lot of good signs out there and we've done -- we've done a lot of visits lately with people talking about these programs. So, I think it's pretty encouraging the things that we're seeing out there right now.
Brent Thielman: That's great. Lot's changed in terms of that competitive bid environment I think over the last six months. Scott, I don't think in your comments you talk much about it. Any thoughts there? I know pricing is getting better as a function of materials cost moving higher, but what are you seeing from a competitive bid perspective?
Scott Montross: Yeah, I think we've had the non-traditional guy that got into the business sometime in 2014 really get out of the business. So that's really taken a lot of the harsh pressure on some of the projects in the Central region of the country off. We also obviously saw some assets change hands from one of the major competitors in Texas to Thompson Pipe. I think that's also been a stabilizing factor to what we're seeing in the Central region. So, we're starting to get back to a footprint or a supply footprint nationwide that we've seen prior to the I guess additional people getting into the business in the longer run of smaller markets. So, it really has stabilized the bidding environment and its allowed the pricing to continue to move up, which is obviously a reason why the backlog continues to improve and the really good thing is like I said is we're seeing with the job push outs like Atoka and some of the job delays that are just delays in the severe weather delays, we're seeing a pretty small market in 2017. But the really encouraging thing is that we're seeing a very stable market with prices moving in the right direction and also margins moving in the right direction. So that really bodes well as you get into a little bit of a bigger market. The things really start to normalize and get better as we get out in 2018.
Brent Thielman: Okay. And Scott, how can we think about the lower margin work that you've got now filtering out over the next three to four quarters? Would you be through I guess most of that or all that by the end of first half of next year?
Scott Montross: Yeah, I think that we're getting through a lot of it now Brent in the third quarter and some in the fourth quarter. Part of the issue with the fourth quarter we've got some nice work in our backlog now with nice margins that we originally thought we're going to be done in the fourth quarter, obviously with the delays something gets pushed to the late fourth quarter and into the first quarter. So, we think that as we get through the fourth quarter that that continues to get better with getting into the higher margin work and obviously as we get into next year you have quarters that will fluctuate a little bit as the backlog develops, but we expect to continue to see that backlog develop and as a whole, we expect to continue to see that market or margin flow upwards. As the backlogs get bitter, not bigger, not only on our side, but across the industry, obviously that creates the upward pressure on price and creates the upward pressure on margins and that's a lot of what we're starting to see.
Brent Thielman: That's great. I'll get back in queue. Thank you.
Scott Montross: Thank you.
Operator: Thank you. And speakers we show no questions in queue at this time. [Operator instructions] Excuse me speakers, Brent Thielman, just came back in queue. Thank you.
Brent Thielman: Hey guys. Not getting off that easy. Scott, there has been a little bit of talk from some of the companies in our coverage about Houston taking a look at some preventative measures as far as flood prevention. Is that any sense you could potentially participate there or is it too early to tell?
Scott Montross: I think it's a little too early to tell. Some of it depends on if it's federal programs and how that comes to pass. One of the problems you see with and you hear that Brent and I think that's something that will eventually happen. I think some of the issue is those are probably two, three, four years out into the future and we probably don't even see some of that stuff yet because it still has to be planned. And as you know from being around us for a long time, some of things take a while to be planned. So that could only add to do what we're seeing. There is a lot of things that could add to what we're seeing over the next few years. That situation the administration focus on infrastructure, which seems to have become a little bit sidetracked at this point for obvious reasons with many other things going on. But there's also this Cadiz Project in California and we're very close to the Cadiz people and we visit with them and have visited with them in the last couple weeks and they're clearing a lot of their hurdles that they have and we don't have that anywhere in our forecast at this point where if that shows up, obviously we believe being in San Bernardino County where they are and which would be benefited by this kind of project, we would be relatively large participant in that, that could create even more upside. So, we're pretty bullish on the upside potentials we go into next year.
Brent Thielman: That's great. Maybe one for Tubular, I know you've been talking about monetizing that asset for quite some time, the decision to go discontinued this period suggest you're certainly looking to sell it. Could we infer that you're just starting to quote some potential buyers there or any thought on that?
Scott Montross: Yeah, what I would say Brent is we're in a process right now with that facility. Obviously, it doesn't guarantee that there is a transaction there, but we are in a process. There has been significantly more interest in that facility, especially since the oil prices have continued to come back albeit slowly, but there is more interest in that facility. Even with being in a process, we still have other people that will continue to contact us and talk about their interest, but obviously we're in a process right now. So, we think that there is obviously being in discontinued ops as Robin has continued to beyond this, we believe that we're going to sell that in a 12-month period. So, I think that based on what's going on right now, it looks like it's a decent possibility.
Brent Thielman: Okay. Great. And maybe one or two for Robin I think the SG&A side, thanks for the guidance for this year. Could we figure that to be relatively fixed into next year a pickup in business and then a follow-up Robin would be as you guys pick up more work, how do we think about you need to borrow on that revolver as activity picks up or do you think you can you self-fund a lot of this working capital?
Robin Gantt: Well G&A even with the pick-up in business, we think it should hold steady. The one thing that as the business improves, we of course hope that everyone participates, the shareholders, everybody else as well as incentive compensation, which hasn’t been in the numbers the past two years. So, we may have some slight increases from that, but we're not looking to add staff or anything like that. So, there could be a little bit higher but that should track with higher profitability. With the availability borrowing all that, our current revolver expires in October of next year. So clearly next year at some point I'll be looking to negotiate a new one, but right now, we may have little periods of needs to borrow with a working capital but just based on the water transmission business alone of what we're looking at, it should generate the cash that we need to continue. Otherwise if when you look for challenges to your worst-case scenarios, if we have to borrow because the business really does jump a lot, we'll have plenty of availability, plenty of room and be able to support that. So, it just looks great as we go into '18.
Brent Thielman: Okay. Thanks so much for taking the questions.
Scott Montross: Thank you, Brent.
Operator: And speakers we show no further questions in queue. [Operator instructions]
Scott Montross: No other questions Bill.
Operator: We show no further questions at the queue.
Scott Montross: Okay. Well, we appreciate everybody's attendance on the call. Next call will be…
Robin Gantt: It will be about early March.
Scott Montross: Early March. So obviously we are focused on continuing to make the improvements here. So, thank you very much and we'll talk again then, bye, bye.
Operator: That concludes today's conference. Thank you for your participation. You may disconnect at this time.